Operator: Good day, and welcome to the Credit Agricole First Quarter 2018 Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Jérôme Grivet, Deputy General Manager and Group CFO. Please go ahead, sir.
Jerome Grivet: Good afternoon to every one of you. Excuse us for this little delay in starting this conference. We have had a most technical problem that is now solved, I hope, and I hope that the line is clear for every one of you. Let me start with the slide show swiftly in order to leave time for your questions if you have some after the presentation. So if we start with Page 6 of the slide show. Just as a reminder, Credit Agricole S.A. posted this quarter a net profit of EUR 856 million and Credit Agricole Group posted a net profit of EUR 1,429,000,000. Just as a reminder, and I think it's an important information, the net tangible asset value per share at EUR 11.2 per share is stable versus the end of last year despite the effects of IFRS 9. Last point on this page, the CET1 ratio stands at 14.6% for the group and that's 11.4% for Credit Agricole S.A. On Page 7, just a reminder of some events that have had an impact on our figures for the first quarter of this year. Obviously, you are fully aware that in the last 12 months we've been disposing of some noncore entities, namely, Eurazeo and the deconsolidation of BSF. And of course, we have had also some significant acquisition transactions: Pioneer to Amundi and 3 regional banks in Italy. We will go back on that later on. And in addition to that, you are fully aware that between the first quarter of 2017 and the first quarter of 2018, there has been a sharp decline in the euro-dollar parity, and there has been, on the contrary, a sharp increase in the contribution that is asked from us to the Single Resolution Fund. Again, we will go back on these 2 elements later on through this presentation. The key messages I think are important regarding the result and the performance that we did this quarter. First is the fact that we have had a very good level of activity in all business lines. The second key point is that we managed to keep our costs under control despite, obviously, this sharp increase in the contribution to the Single Resolution Fund. And indeed, with decline of the level of cost at constant scope and ForEx rate by 0.7% from the perimeter of CASA is a good performance, which generated an underlying cost/income ratio excluding our contribution to the Single Resolution Fund at 63.3%, which is a fairly good level at least for first quarter of the year, which is a quarter, as you know, impacted by IFRIC 21 regulations. And the last point is that on the 2 acquisitions, I would just mention here we are in a position to consider that the schedule of the cost synergies that we were targeting is going to be accelerated a little bit. Amundi already said when it published its results that it was in a position to generate as much as 60% of the cost synergies of the Pioneer acquisition as early as 2018 and not only 40% like was the initial schedule. And as far as the 3 Italian banks are concerned, considering the fact that we are going to merge them into Cariparma in the middle of this year, we are in a position where the equilibrium, the breakeven on those 4 banks is going to be reached probably around the second quarter of this year and for the contribution for the full year 2018 is going to be definitely positive. The last point maybe I can mention is that the impact of the transition to IFRS 9 is exactly at the level that we had forecast, namely, 24 bps in terms of CET1 ratio for Credit Agricole S.A. and 26 bps for the group globally. On Page 9, you have all the main activity indicators that you are used to. I'm not going to comment all those indicators, of course. Maybe just 2 indications. The first one is that in retail banking activities especially in France, we are seeing the same movement that we had already mentioned last quarter, which is a slowdown in the home lending business and a pickup in the lending to businesses. And the second element is that, obviously, in the CIB space, especially in the credit market, we have seen a very pronounced wait-and-see attitudes from our customers in terms of bond issuance, which is also triggering a weak demand for hedging activities. If I go now to Page 11, good news is that we have only very few specific items this quarter. I think there is only one, which is worth mentioning. We have an additional bad will that we posted this quarter. It's an additional bad will on the acquisition of the 3 Italian banks, which translates into the acknowledgment of an intangible asset. So no impact on our solvency, but a EUR 66 million impact, positive impact, on the net profit of this quarter. If we go now to Page 12, there is maybe some explanations we need to remind you in terms of evolution of the net income group share. As I told you, we are posting this quarter a net income group share for Credit Agricole S.A. of EUR 856 million which is an increase of 1.2% as compared to the EUR 845 million posted last year on the first quarter. If we restate those 2 figures from the specific items, which were negative last year and which are positive this year, we have an underlying evolution between Q1 '17 and Q1 '18, which is declining by 12%. But actually at constant scope and at constant exchange rate, it's an increase of nearly 5%. And if we also take out the impact of the sharp increase of the contribution to the Single Resolution Fund, it is actually an economical increase of nearly 9%, 8.7%, of the underlying net income group share. And what you can see is that this net -- increase of the net income group share is connected to what is now our perimeter of activity. Let me go now to Page 13 and to the evolution of our revenues, the evolution of the top line. I would say that in gross terms, the top line is increasing by 4.4%. Actually the underlying top line is growing by 2.5%, and on an underlying basis, excluding the scope and ForEx effect, it's almost a stable evolution, minus 0.7%. What you can see actually is that all business lines are either stable or up and the decrease in revenues is concentrated on the Large Customers division, which I will comment a little bit later on. On Page 14, what you can see again is that we have had good cost control. I already said it, but there is a decline of 0.7% of the cost base in terms of underlying cost excluding Single Resolution Fund contribution and at constant scope and exchange rates. And actually where there has been a slight increase in the cost base is in the 2 business divisions where we have made acquisitions, asset gathering and retail banking activities. And in both cases actually, the increase in the overall cost base is below the simple integration of the cost basis of the entities that we acquired. So it means that we have already started to generate cost synergies. And again, the cost/income ratio at 63.3% excluding the contribution to the Single Resolution Fund is at a good level considering the fact that we are on the first quarter. In terms of the cost of risk, Page 15, I think that there is nothing much to be said. The cost of risk is stable at low level as compared to the fourth quarter of last year and is even decreasing as compared to the first quarter of last year despite the first effect of IFRS 9 because, as you know, we are now booking provisions not only for nonperforming loans, doubtful loans, but also for the so-called bucket 1 and bucket 2 loans in all business lines. On Page 16, you have the breakdown of this evolution of the cost of risk by business line inside the perimeter of Credit Agricole S.A. Nothing much to add on this page. Maybe just an additional information, which is that despite this low level in terms of cost of risk, we have significantly increased the coverage ratio of our NPL portfolios. It's, of course, in connection with the transition to IFRS 9. If we now zoom on the different business lines starting with the asset gathering business division on Page 17. What you can see is that there has been a good level of activity across-the-board with, but you know it already, a very significant level of net new inflows within Amundi, close to EUR 40 billion, but also good momentum within the life insurance business plus EUR 1.6 billion and plus EUR 2 billion in the wealth management division. All in all, we have a very significant improvement of the contribution of this business division to the net income group share of CASA at nearly EUR 450 million. It's up close to 12%. On Page 18, with regards the insurance activities. I think that what we can say is that we have had a very good level of activities across all segments within the insurance space, be it P&C activities, personal insurance and also savings and retirement with a good quality of the net new inflows and the level of profitability is up at a level, which was already quite high on the first quarter of 2017. On Page 19, Amundi, of course, you have already noted when Amundi published its results 10 days ago that not only the net new inflows were very high, but also of good quality considering the breakdown of these new inflows between the different segments of customers and between the different asset classes. In addition to that, as I already said, the materialization of the cost synergies is going quite well. And so in this first quarter of 2018, Amundi managed to keep more or less stable its cost/income ratio excluding contribution to the Single Resolution Fund even though all the cost synergies are not materialized, of course, yet. And the contribution to the net profit of Credit Agricole S.A. is sharply increasing considering the integration of Pioneer. On Page 20, retail banking activities in France, LCL. From a commercial viewpoint, I think that all indicators are in the green, be it the evolution of loans outstanding, of customer savings, but also the number of new customers. LCL opened close to 90,000 new bank accounts this quarter and the client equipment in different products and services is also improving this quarter as well as the case in the previous quarters. The net banking income is definitely impacted by the fact that we no longer have the early repayment and renegotiation fees that we had in the first quarter of 2017, and we have also an impact of the increase of the Single Resolution Fund. But actually, the underlying level of revenues is now stable as compared to the first quarter of 2017 excluding the renegotiation and early repayment fees and it's even a little bit up as compared to the last quarter of last year. In addition to that, the operating expenses are sharply down, minus 2.4%, and so we are in a position to fully confirm the guidance that we had given on the first evolution of the net banking income within LCL for the full year of 2018. In Italy retail banking activities on Page 21. Like I said earlier, we now integrate the 3 banks that we purchased by the end of last year, which explains a significant part of the increase in customer savings and in loans outstanding. But not only, I would say that on the so-called historical perimeter of Cariparma, the activity was also quite dynamic. The net profit is a little bit down, but it's only due to the effect of the integration of the 3 banks. All in all, they generate a negative contribution this quarter of around EUR 4 million, which, as I said, is going to slightly become positive probably in the second quarter and to be positive for the full year 2018. And again, we see that the balance sheet quality has further improved this quarter with an impaired loan ratio at 11.5% now and another improvement of the coverage ratio, which is now at 63%. The net income group share without the scope effect would have been up 7.5%. For the retail banking activities -- international retail banking activities excluding Italy, nothing much to say besides the fact that the net income group share is up close to 50% at EUR 30 million and it's up in all geographies. In specialized financial services on Page 23, just one word on the leasing and factoring activities, which showed very good commercial performance plus a very sharp increase in the financial figures with the net profit, which is also up close to 50%. As far as the consumer credit business, CACF, is concerned, it's fair to say that we had, had in the first quarter of 2017 2 significant positive one-offs, which are not repeated this quarter, namely, it was the effect of the disposal of an important portfolio of nonperforming loans, close to EUR 500 million of nonperforming loans, which were sold at an overall profit of EUR 22 million net income group share. And we also sold the [ breach ] business in the first quarter of 2017, generating a net profit of EUR 15 million. So excluding those 2 one-offs, actually the net income group share of CACF is also up slightly, but up 1% this quarter as compared to the first quarter of 2017. In the Large Customers division, again 2 different businesses and 2 different evolutions. As far as the asset servicing business is concerned, the net profit is up 12%. We benefit from very good activity momentum plus from the fact that we now own 100% of this business so we no longer have any minority interest. In the CIB space, obviously, this was called [ the area ] where the environment was the most challenging in the first quarter of 2017. So if we go down by the different sub-business lines within the CIB space, I think that we can say that we had quite a good resistance in the fixed income capital market activity in a very, I would say, dull commercial environment. So we managed to keep a decent level of activity, but the revenues were nevertheless down 20% at constant exchange rates. But in the financing activities, actually the performance was quite satisfying considering the very scarce approach that we have in terms of risk-weighted assets. And indeed, the level of risk-weighted assets allocated to the CIB this quarter was significantly down considering the fact that, in addition to that, we managed to keep under tight control the cost base and that the cost of risk was also significantly down this quarter as compared to the first quarter of 2017. We managed -- despite this wait-and-see attitude of our customers, on the capital market activities, we managed to keep the return on normalized equity of the CIB activities on a full year basis a little bit above 10%, which is quite decent for our first quarter. For the corporate center on Page 25, I think that we are, again, on track to reach our target of around EUR 700 million of net cost in 2019. So nothing much to add despite this element. And if I go now on Page 27, on the Regional Banks, I think it's more or less the same situation than one we have seen for LCL with a very good commercial momentum. Customer savings, up close to 4%. Loans outstanding, up 6.1%. 270,000 new bank accounts opened in the first quarter of this year, out of which 30,000 in connection with the new offer, eko, that was launched by the end of 2017. Revenues were obviously down for the same type of reasons as the one we had mentioned for LCL. And so this explains obviously a decline in the level of profitability. But nevertheless, commercially, it's working very well and it's benefiting to all the business lines of Credit Agricole S.A. starting, of course, with the insurance activity. If I go now to Page 29 and 30 for the assessment of the solvency of the group, starting with Credit Agricole S.A. The fully loaded CET1 ratio stands now at 11.4%. It's down 30 bps as compared to the end of last year and 30 bps is exactly the impact of transition to IFRS 9 plus the deduction of the payment commitment to the Resolution and Deposit Guarantee Fund that the ECB imposed to all banks this year. So a good level of CET1 ratio, which remains perfectly in line with our target of 11% in the medium to long term. This is not [ due ] to the fact that we continue to manage the level of risk-weighted assets on a scarce manner with only a small increase as compared to the end of 2017 and a level, which is more or less stable as compared to the end of March 2017. At group level, the solvency is, of course much higher, 14.6%, at the end of March. It compares to 14.9% at the end of last year and to 14.5% at the end of March 2017. The evolution of this quarter is more than explained, I would say, by the regulatory impact, which we presented the global impact of close to 40 bps. So it means that outside this impact, it would have been up 10 bps. Again, this is due to very cautious evolution of the level of risk-weighted assets. And in addition to that, I want to mention a further improvement of the TLAC ratio, which is now at 21% excluding eligible senior preferred debt. It's up 60 bps as compared to the level we had reached at the end of last year. This is partly due, on Page 31, to the fact that our long-term market funding program has well advanced this quarter and I would say on the first 4 months of 2018 because we have updated the figures at the end of April. And on the perimeter of Credit Agricole S.A., we have focused on senior nonpreferred debt precisely in order to accelerate our evolution towards the target of 22% in terms of TLAC ratio, benefiting from very good market conditions and very cheap market conditions for this category of debt in the beginning of this year. In terms of liquidity and funding, nothing much to say. Again, the liquidity situation of the group is very sound with equity reserves in the region of EUR 250 billion and an LCR ratio, which is far above any requirement and a surplus of stable funds, which remains above EUR 100 billion. So in conclusion, I would say that this quarter, despite challenging environment and despite some changes in the scope of the group between 2017 and 2018 proved to be a very satisfying quarter for the group and for Credit Agricole S.A. And as Philippe Brassac said when we presented the results to the press, "We confirm that we are fully on track, thanks to those results, towards reaching all the targets that we had set for the Medium Term Plan for 2019." Thank you very much, and now I will hand the floor to you if you wish to ask questions.
Operator: [Operator Instructions] We will now take our first question from Guillaume Tiberghien from Exane.
Guillaume Tiberghien: I have 2 questions. The first one relates to the RWA in the financing business. So I appreciate their well-controlled year-on-year. But in the last 6 months, that increased 10% despite the fact that the FX should have actually reduced the growth rates. So I was wondering whether you're taking a little bit of risk or whether your growth is going to be, obviously, quite capital-intensive. Similar question maybe for the growth at LCL. In SME and professionals, you're growing at 8% or 9%. So admittedly, for now, the French economy is very sound, but that's usually a segment rather vulnerable when the cycle turns. And so was wondering if you had some comments on that. The other question relates to the capital for the group, the shareholder equity. If I compared the 1st of Jan to the 31st of March, so under the same IFRS 9 criteria, they haven't moved during the quarter despite the earnings. So I was wondering what had happened there.
Jerome Grivet: So many questions, Guillaume. The first one on the CIB, I don't have the precise figure you are mentioning as far as RWA and financing activities are concerned. But I have always said that we can have a certain volatility, specifically if we're talking end-of-period RWA because in the CIB space and especially in the financing activities, the strategy is to earn the right significant transaction and then to distribute those assets. And as you know, we have regularly increased our primary distribution ratio in accordance with our global strategy. So it can happen that on a specific end-of-quarter date, we have peaked in terms of RWA. So what is important is the medium- to long-term trend. And I can confirm you that we don't intend to grow and to start again to grow the level of RWA that we keep on our balance sheet in this business. The idea is clearly to remain inside this distribute-to-originate strategy. At LCL, the situation is a little bit different. We, contrary to the CIB business where we want to manage this business on an asset-light basis, in the retail banking activities we are in a business where we want to accompany the growth of the market and we want to accompany our customers. So it means that if the market for SME lending is growing, which is the case, and is growing on a sound manner because, as you know, we are not growing, I would say, treasury loans to our customers. What is growing is the investment loan segment. So I think it's fully, I would say, coherent with our strategy to be part of this increase and to be able to accompany our customers when the market is here. It has been the case in home loans and we tried not to lose any market shares in home loans when the business was booming. It's slowing down a little bit. The business is now accelerating for SMEs and corporate influence, and so the intention is clearly to be part of it. In terms of evolution of the net asset value, what was your question exactly?
Guillaume Tiberghien: So on Page 17, the quarterly report, you mentioned capital for group of EUR 57, 173 million, stable quarter-on-quarter. And I was wondering despite the earnings, you should have had an increase because that excludes the unrealized...
Jerome Grivet: Yes, we have also provisioned, as you know, the future dividend and some of the elements of the earnings like the -- IFRS 9 didn't [ play ] anything because it was comparing January 1 with the end of March. But part of the earnings of this quarter like, for example, the EUR 66 million of bad will are not generating any increase in the shareholder equity because there is, at the same time, an intangible asset, which is group. So I don't have all the figures in mind, but clearly, the evolution inside the quarter is perfectly, I would say, logical.
Operator: We will now take our next question from Jon Peace from Credit Suisse.
Karl Peace: So I wanted to ask about your net profit target in 2019 of EUR 4.2 billion where, Jérôme, you said you were confident in hitting that next year. And if I compare that with consensus, analysts have got numbers, which are ahead of your plan in asset gathering and specialized financial services. It's more or less in line in the corporate center and then it's a little bit below in CIB and even lower still in the retail businesses. So if you're so confident in hitting the target, where do you think analysts are too conservative? Do you think the CIB business is going to accelerate and hit the plan? Or are we too conservative around perhaps cost savings in the retail business going forward?
Jerome Grivet: No, I think these exercises are 2 different exercises. Analysts are forecasting and so they are making assumptions. And what we are committed to is to reach our target, which is a different exercise. I'm not pretending that if we are in a position to be above the target, we are going to meet ourselves just to the target. What we can say is that everything we are seeing in what happened in this quarter is consolidating our capacity to reaching our targets in 2019. I'm not pretending that the analysts are either too aggressive or too conservative in different business lines.
Karl Peace: So if I were to look at CIB, for example, it obviously came in a little bit lighter this quarter. Are you thinking that business will still accelerate going forward and is on track to meet plans?
Jerome Grivet: Well, in the CIB activities, we have fixed income capital market activities and then we have financing activities. We have the small part of what we call investment banking in which we have advisory and a small corporate derivative business. So if we leave alone this business, which is small, the financing activities have been performing well this quarter. They are in line and evolving positively. As far as fixed income activities are concerned, I think we have to go a little bit more in detail. And actually, what happened this quarter is that the demand from customers to issue new bonds was weak. Typically, on the different bond markets, the volumes were down 15% to 20%. And in our case, the bond issuance is, I would say, triggering the rest of the business because typically what we do is that when we issue a bond for a customer, then we have the capacity to cope with the hedging. We have the rate hedging, the ForEx hedging and all the, I would say, the ancillary side business. So clearly, if the overall fixed income business was down, it was triggered by the weakness of the bond market. I leave alone the securitization business, which actually performed well this quarter inside those activities. It suffered from the ForEx because part -- a significant part of the securitization business is made in the U.S. and so translated into euro, definitely we suffered from the evolution of the parity. But nevertheless, the volumes and the pricing were quite satisfying on this securitization business. So if we believe, which is my case, that the economic environment will remain more or less positive for the rest of the year, if we believe that the corporate customer has to issue bonds at a certain point in time, we can expect that the volumes we didn't do in the first quarter will happen somehow in the rest of the year. So for the time being, I have absolutely no indication that this will be the case and when it will be the case. But this year, the start of this year, make me think a little bit of 2016 where the first quarter was weak, it improved in the second quarter, and surprisingly, we had a very, very strong third quarter. So again, I'm not forecasting that, but it starts a little bit like 2016 and absolutely not like 2017 when -- which is more traditional. Most of the issuer tried to take advantage of the first part of the year to issue their bonds on the market. So in CIB, to summarize my answer, I consider that we have had a weak quarter especially on the fixed income market, but for me, it's not a trend.
Operator: We will now take our next question from Jean Neuez from Goldman Sachs.
Jean-Francois Neuez: Jean-Francois Neuez from Goldman Sachs. I just wanted to ask the first question on the CIB again. I just wanted to understand better the relationship essentially between cost and revenues and whether -- let's assume -- obviously, it's not your view, but let's assume that the revenue weakness would continue, would we see a catch-up in the rate of decline on cost in the rest of the year? Meaning that the first quarter you haven't really shown the flexibility that is possible to obtain? Or is the cost base much fixed than it would not -- than sometimes it is in CIB business is elsewhere. And my second question is on capital management. So I just wanted to know whether you could provide us an update on the moving parts going forward and where we are there, in particular, on unrealized gain contribution to CET1, if you had refined any Basel IV or EBA guideline estimates as well as whether you could update us on the status of Switch within the context of your Medium Term Plan.
Jerome Grivet: Okay. So on the CIB first. As you know, Jean-François, we are absolutely not in the same business model as some merged market -- U.S. merged market, very active in trading activities. So the proportion of our costs, which are directly linked to the profitability or to the level of revenues is much smaller than the one which is, I would say, more or less fixed cost basis. When I say fixed, I'm not pretending that if we're seeing a decline in the medium-term trend of the revenues, we wouldn't be able to adapt the cost base. But you can see, for example, within LCL is that we know how to adapt when we think it's necessary to restore the profitability. But in the CIB -- in our model of CIB, we are not in a model where the revenues of a certain quarter is triggering directly a significant evolution of the cost base of the same quarter through the bonus provisions. So clearly, of course, we are aware of the necessity of maintaining a competitive cost/income ratio in this business. And actually with a 59% cost/income ratio this quarter excluding Single Resolution Fund, it's not so bad actually. But we are not to be -- we are not going to be as flexible again as some big Wall Street firms. In capital management, you have raised several questions. Starting with Switch, it's a very easy one. Nothing new on the Switch front, I would say. We are going to take our time, but we have the option within Switch to partially or totally unwind this mechanism if we think at a certain point in time that it's the best [ thing ] with our capital. So nothing has changed. Basel IV, again, besides saying that what we saw in December last year seems digestible from our viewpoint, it's very difficult to be more precise before having enhanced the directive proposal that are going to be issued by the commission not before 2019. So don't expect from us any more precise guidance on Basel IV until we see exactly how the commission wants to transpose this Basel agreement into positive European legislation. Last point on the composition, the breakdown of our solvency as of today, I know that it's a subject that is always followed. What I can tell you is that within the 11.4% of CET1 ratio of CASA, we have now what was called before the AFS component which is now more an OCI component, which we present a little bit below 50 bps.
Jean-Francois Neuez: Okay. And on EBA guidelines?
Jerome Grivet: On EBA guidelines about the NPL, well...
Jean-Francois Neuez: Yes, there is -- the one in November, December.
Jerome Grivet: November, I think many, many evolution have taken place on this front so we don't know exactly what is going to be the final output. What I can tell you is that reading what I read about this subject, it's not going to be a big issue for us nevertheless.
Operator: We will now take our next question from Maxence Le Gouvello from Jefferies International.
Maxence Le Gouvello du Timat: I have a few questions for you. The first one is regarding the cost of risk in the retail you developed [indiscernible]
Jerome Grivet: We hear you -- we hardly hear you, Maxence. I don't know what's going on.
Maxence Le Gouvello du Timat: Is it better?
Jerome Grivet: Yes, it's better.
Maxence Le Gouvello du Timat: So the first question is regarding the cost of risk in your other retail activities. You did a significant cleaning with the disposal of the EUR 500 million NPL ratio. Which kind of cost of risk guidance do we need to apply going forward on that part of the business? The second element is regarding a follow-up on Guillaume's question. You were speaking at the time of the Investor Day about being more selective in reducing the RWAs. Where are you in the process? And can we estimate that, today, we reached the bottom and it's the right level for you. The third question will be a comment regarding your Q4 reserve commenting that you have postponed some deals from Q4 to Q1 to avoid the high tax rate. Where those deals have been allocated? And how do we need to interpret the underlying trends. And the last one is regarding the FRU. The plus 25 is quite significant and it seemed that the French banks are more impacted than other European banks. Do you have any idea why?
Jerome Grivet: Again, important question. In terms of cost of risk, actually, we -- it's very difficult to provide a guidance. What we can say is that in the different business lines, the consumer credit retail banking in Italy or in other geographies, retail banking in France and financing activities of the CIB, we see absolutely no sign of deterioration. So it's difficult, it's been now 8 or 10 quarters that we said that we have reached a very low level and that we see no sign of deterioration, but no reason why the decrease could continue. And again, it continues. But I think we have now to learn to live it with IFRS 9 because IFRS 9 is probably going to trigger a certain volatility in the cost of risk. What I can tell you is that if we take, I would say, quite an objective indicator, which is the NPL ratio [ that cost ] above within Credit Agricole S.A. all business lines, it's rather declining actually because it was at 3.6% by the end of March 2017. It's now at 3.4%, so clearly I think the bottom line in order to assess the potential evolution and the cost of risk going forward. In terms of RWAs, I think we are now close to the target that we had set for the CIB. I assume you were raising your question about the CIB. So yes, now around the target that we had set for the CIB in the Medium Term Plan, which means that, again, there might be some volatility because this is always possible to see a deal taking place on March 15 rather than on April 15. So if we distribute this in 1 month's time, it means that it's going to weigh on your risk-weighted assets by the end of the first quarter or not depending on the precise date of the closing. But I think we have no intention to reduce further massively the RWA allocated to the CIB, but we have either no intention to increase the RWAs just for the sake of trying to generate additional revenues. The business strategy is really to try to make the best use of a limited amount of RWA. It's the case for capital market activities with very low level of VaR and very low level of capital consumed by those activities. And it's also the case of financing activities where this Distribute-to-Originate strategy is still going on. You were also raising the question about LCL. And yes, deals that were postponed -- actually what we said that, in the end of last year, was that we didn't try to generate the maximum possible profit in the context where the tax rate was high. I was not, if I remember correctly precisely, mentioning a specific deal that could be postponed from one quarter to another one. What we did was also to try to book some costs rather in 2017 than in 2018, which was actually the case. And for example, you can see that the insurance business, the costs are down this quarter when they were up on the last quarter of 2017. The last point is regarding the contribution to the Single Resolution Fund. It's a very complex matter, and for me, to be frank, it's something, which I find a little bit weird. The bottom line is that the Single Resolution Board has set the target that has to be reached in 2023 in terms of a certain proportion of the 2023 deposit basis within European banks. If I remember correctly, 1% of the deposit base is within the European banks. And so between now and 2023, what they are doing once a year is to adjust the amount that they are asking the banks to pay in order to convert progressively towards this level. So the rate of 1% is fixed, but the basis for the calculation, which is the assumed level of customer deposit within the bank, is not fixed because it's reassessed regularly. And what happened in the second part of April, so a little bit late this year, was that the chairwoman of the Single Resolution Board during the conference said that actually she was seeing an increase in the customer deposit basis presently and that probably could lead to an increase in their requirements. But we have not received the bill yet. The bill typically is sent by the end of May. And so what we had been booking in the first quarter of this year was a provision, which we think is going to meet the bill that we are going to receive. But it's a quite weird exercise in which we received the bill in May when the accounting regulation asked us to book the charge in the first quarter.
Maxence Le Gouvello du Timat: Okay. So we may have some adjustments in Q2 on that part?
Jerome Grivet: I don't expect any adjustment neither positive nor negative because my teams try to make a quite, I would say, thorough analysis of the basis of calculation. But what I can say is that if you haven't seen some banks that published the results earlier, reassessing the level of their Single Resolution Fund contribution, it may be because they published the results before the statement made by Mrs. [ Knish ].
Operator: We will now take our next question from Delphine Lee from JPMorgan.
Delphine Lee: Just a few questions on my side. First of all, just want to ask you on French retail. So the net interest income has stabilized this quarter. And I was just wondering if we should expect this kind of level as a run rate or when could we expect a little bit of improvement given very strong volumes. Secondly, if I can come back to CIB and just ask you maybe on a bit of color on April, if you have seen a little bit of a rebound on bond issuances in the environment of fixed income? And then just very last one, technical one but just on 81 coupons. There's been a slight increase this quarter. The amount can be a little bit volatile but just wondering if there is anything to note, or is that coupon or cost coming down in next few quarters or if there's any change in full year basically.
Jerome Grivet: Okay. LCL, the guidance that we gave by the end of last year and that I confirm now is that Q4 '17 is a good basis if you try to assess what is going to take place in 2018. So it proved to be the case for the first quarter. It may vary from one quarter to another by a few million euros but it's probably a good, I would say, guidance for the full year 2018. In CIB, it's a little bit early to try to assess things. What I can say that March was really a difficult month and that April was probably a little bit better. I'm not pretending that we went from complete darkness to full light when we changed from March to April. And again, I was referring to 2016 earlier. In 2016, the recovery was quite slow actually. It wasn't -- all of a sudden that volumes increased and that the consumer appetite for new deals went back to its peak. So it's very difficult to give precise guidance. What I can tell you is that March was probably a very difficult month in the second of the last 6 months. And the 81 coupons. Well, it's true that there has been a slight evolution from EUR 125 million to EUR 131 million. I don't know exactly the explanation. It's probably in connection with the fact that almost all our 81 are in dollars, so -- but it's a little bit counterintuitive because the dollar actually declined between -- at least Q1 '17 and Q1 '18, there is a decline in 81 coupons and there is a decline in the dollar. So probably there the coherence is good. Between Q4 '17 and Q1 '18, I don't have the precise answer but it may simply depend on the date at which we pay the coupon. What I can tell you anyway that we haven't had any evolution in the outstandings of 81.
Operator: We will now take her next question from Lorraine Quoirez from UBS.
Lorraine Quoirez: Two questions for me. The first one on Cariparma. I was wondering whether with the acquisitions, you could maybe tell us a little bit more about your new cost/income ratio and cost of risk target for 2019. And the second question would be about the insurance. I thought the revenues were actually quite strong this quarter, and I know it's very difficult to understand how insurance accounting translates into banking accounting, but in the same time, I was just wondering whether you think the revenue this quarter is actually high for the next quarter.
Jerome Grivet: Well, on Cariparma. In terms of cost of risk, what we had said, and I see no reason why I should change this, is that we think possible to reach a level of cost of risk in the region of 60 bps. We are still above this level for the time being. So we think that there is a further potential of decrease in the cost of risk, at least, I would say, for run rate in terms of cost of risk. There is one caveat, which is again the way IFRS 9 is going to play and to introduce some volatility. But I think this is the type of figure that we have in mind. In terms of cost/income ratio, what is important to keep in mind is that we started with the 3 banks that we integrated by the end of last year with the cost/income ratio, which was significantly above 100%. It's now already at 95% for this perimeter of this 3 new banks. And definitely, what we target is to reach the average level of Cariparma, which is in the region -- on a run rate, I would say, which should be in the region of 55% to 56%. I don't remember precisely the targets that we have set in the Medium Term Plan, but I think it was in the region of 55% to 56%. And again, we see no reason why we should change this target. In the insurance activities, I think again, it's very difficult to precisely explain all the details of the evolution of the top line. But what is interesting to note is that we managed to keep more or less the top line stable as compared to last year when last year, we have had significant capital gains that were realized in the first quarter. And so we managed, I would say, globally to replace those capital gains on the portfolio of asset of the life insurance company by the recurring rhythm of financial revenues. There has been a small decline in the level of revenues generated by the P&C activity because for some, I would say, weather-related events. During the first quarter, we have had a slight deterioration of the combined ratio of the P&C insurance company which translates into "net banking income". But -- so I think again, what is important for the insurance activities is to monitor the evolution of the net profit, which is going to remain somehow between the evolution of the outstandings of the life insurance activities and the evolution of the size of the portfolio in P&C and nonlife activities.
Operator: We will now take our next question from Alex Koagne from Natixis.
Alex Koagne: First question is on margins. Can you please just comment on the evolution of margins in the retail both on home loan and SME? I don't know if you can give -- provide figure on the level of new business compared to the back book. Second question is on the cost in the retail, specifically on LCL, I've seen that you're running ahead of your target in term of cost reduction. Should we expect this level to continue through 2019? Or should we expect it kind of slow down on the cost reduction? Last question is on Amundi. I think that the integration of Pioneer is where -- I mean is going as planned. The group could be now open to new acquisition in MALZIEU. I'm just wondering if you can update us on what is a holding you want to have in Amundi. Are you open to go below the 66%? Or what is the level on which you don't want to go down -- below?
Jerome Grivet: Okay. LCL, so obviously, what happened since 1 year is that the average yield of the back book continued to decline. And at the same time, even if it was not enough, I would say by far, customer rates for new loans started to increase a little bit. So this has significantly narrowed the gap between the back book and the front book actually, and it was in the region -- I don't want to give too precise figures but just to illustrate things, it was close to 100 bps, and it has now more than half actually. So clearly, we are in a far better situation in terms of, I would say, rollover effect on the loan book of LCL. As is probably the case on all the markets. Definitely, I think that we still have some room to see customer rates increasing because market rates, long-term market rates have increased in the last 12 months by probably 80 bps, I would say. And at the same time, customer rates have increased only by 20 to 25 bps. So I think that -- and it's, I would say, a competition issue in on market. The market remains very competitive and banks have not fully integrated, and I would say, even by far this increase in market rates in their pricing for new loans. So what I hope -- I'm not saying that I'm forecasting that for a precise date, but what I hope is to see a further increase in customer rates, which is going to help closing this gap between the front book and the back book. But for the time being there is still a gap, which has again more than halved but which is still a positive gap. In terms of cost at LCL, obviously, the idea was to be a little bit ahead of the curve in term of cost cutting within LCL, when we saw that the top line was probably going to be a bit behind the of the curve. So this is why the management of LCL decided to be quite aggressive in terms of cost cutting, and what I can give you as an indication just to assess all these thoughts that have been made in the last years within LCL. The total staff was close to -- was around 20,000 people back 4 years ago. It's now 17,500 people. So it's a very strong reduction in the number of staff. At the same time, I remind you that we have decided to close -- to merge 250 branches, which has been completed too. For the time being, we are not going to learn -- launch additional cost-cut plans. So we are going to continue to manage the cost base very carefully. We are going to continue to deploy all the plans that we had launched, especially in the back offices in order to reduce their cost, but I'm not guiding you to a 2.5% decline year-on-year on the next, I would say, on the coming -- on all coming quarters. And other certain point in time, we are going to be in a situation where it could make sense to accelerate some investments, IT investments, albeit more, I would say, commercial investments, advertising and so on and so forth. Last point, within Amundi, again, we have said that we intended to keep 2/3 of the capital of Amundi. We haven't changed our mind yet. And to be frank, I don't know if you have asked the question to Mr. Perrier, but at least seen from my viewpoint, I don't see any project coming from Amundi that could, I would say, raise the question.
Operator: We will now take our next question from Matthew Clark from MainFirst.
Matthew Clark: So two questions. Firstly coming back to the pull to par impact on the CET1. How much of the 50 basis points contribution to the CET1 ratio that you said came from the OCI portfolio is related to the bond portfolio that you think could disappear by the end of 2019 horizon for your plan? So specifically on the bond portfolio, the update compared to that original 70 basis points...
Jerome Grivet: I don't have the precise breakdown, but clearly, I think it's not a massive mistake to assume that the far biggest part of it is due to the bond portfolio.
Matthew Clark: Okay. And do you still see that likely to unwind on a kind of now 2-year horizon?
Jerome Grivet: Probably not 2 years because the duration of the bond portfolio is longer than that. I don't have the precise, I would say, spreading over time of this OCI reserve but it's probably going to take more time than 2 years actually.
Matthew Clark: Okay. And then second question was on the payment and account fees in LCL where it was a very strong increase year-on-year. I think you had mentioned, in previous quarters, that you are moving clients from different package programs around. I just wanted to see is that now complete? Or is that more benefit to come from shifting clients among different packages?
Jerome Grivet: Well, I don't have precise idea on the first evolution. What I can say is that, again, this quarter, what you can see within LCL is that the number of premium cards issued to customers has further increased by close to 5%, which means that we continue to try to convince customers that they will find some, I would say, advantages and perks to purchase premium cards. So definitely, what is the responsibility of LCL is, buy the offer and then it depends on the customer, which may choose either the low cost offer or the premium offer depending on their need. What we try to do, of course, is to have as many customers attracted by the premium offer as possible. But definitely, the idea is even more important to keep the biggest possible number of customers. So I'm not able to say up to which level we can push this movement.
Matthew Clark: How much more profitable per customer are your premium package customers compared to your standard package customers?
Jerome Grivet: Frankly, it's a question that is a little bit beyond my knowledge, my immediate knowledge. So if you don't mind, I will ask the IR team to try to provide you with a more precise answer.
Operator: We will now take our next question from Kiri Vijayarajah from HSBC.
Kirishanthan Vijayarajah: A couple of questions on Italy, if I may. So first just curious, what the levers that have allowed you to upgrade your profit contribution targets for those 3 Italian banks? Is it purely the work you've been doing on the cost side? Or is there been some sort of positive surprises on the cost of risk or revenue lines as well? And then in terms of your large Italian business and your volume growth ambitions there, you seem happy to grow faster than the market in mortgages. I'm just wondering at what point do you see maybe accelerating growth on the SME, small business side, when can we see the pace picking up there as we -- I guess we've already been seeing that kind of trend in France. Or is it more a case of the risk reward in Italian SMEs is still kind of pretty unattractive for you guys at the moment?
Jerome Grivet: Well, I think as far as your last question is concerned, the answer was more or less inside the question, to be frank. So clearly, we are happy with the business of home loans because it's a market that is developing in Italy and because there are, I would say, places to capture. We are happy also to develop the lending to corporate of a certain size. But actually clearly to SMEs, it's a business which is probably, if you're not cautious enough, is a keen to generate such level of cost of risk when the economic environment is turning down. So obviously, in our core regions where we know precisely the customers, where we know their business, where we know their capacity to explore and to develop their activities, we are aboard, and indeed, we do lend to SMEs. But this is and this has not been set a priority for Cariparma. Going back to your first question, which is how we can imagine to boost the profitability coming from the 3 Regional Banks we've acquired. Clearly, the idea was, if I put it in gross and simplified terms, we started with a cost/income ratio which was probably in the region of 115%, 120%. So the idea was simply to cut the cost base by 25%, at least as a starting point simply by the merger of those banks within Cariparma. And the mergers are going to take place in June, July and September, which means that in Q3, it's going to be completed. And in addition to that, we intend also to boost the top line simply by plugging all our product factories, you know, life insurance, P&C insurance, a consumer credit, asset management to the customer base of those 3 banks, and this is, in our assumption, this is going to boost the top line by probably 20%. So if you increase the top line by 20% and you decrease the cost line by 25%, you are going to push down the cost/income ratio from 115%, 120% to 70%, around which is probably not enough in the long run but as a starting point, and this is on that calculation that written investment assumption has been made. It's by far enough to justify the level of return on investments that we had in mind. So nothing coming from a decline in the cost of risk simply because we start with banks with completely clean level of balance sheet.
Operator: We will now take our next question from Pierre Chedeville from CIC.
Pierre Chedeville: Just few left questions. Regarding Poland, I understood that you are not very happy with your subsidiary there due to the tough environment. And following the discussion I had with Xavier Musca few months ago, I understood that you were thinking about the evolution of the situation there from your point of view, that is to stay or to leave. I wanted to know if the acquisition of Raiffeisen in Poland by BNP has made your reflection evolve regarding your positioning in Poland. That's my first question. My second question is regarding wealth management. I wanted to know where it comes from, the good evolution of the revenues. Do you have an improvement in the fees, in the mix? And where it comes from the organic growth, from France or from foreign subsidiaries? And my last question is regarding the general situation in France regarding the growth of credit. Do you feel at a certain point that considering the fact that France is much more dynamic than over peers in Europe from the credit growth point of view, that some authorities, Minister of Finance, for instance, would be tempted to calm down this dynamic in France by increasing the Core Tier 1 requirements?
Jerome Grivet: Thank you. So your first question on Poland. First if you can see on Page 22 that in Poland, this quarter, the net income group share increased by 60% as compared to the first quarter of 2017. So we said that we were not fully happy with our setup of activities. That's true. But nevertheless, we try to manage the setup of activities as efficiently as possible, and indeed, it's been positive this quarter. The second idea is that, clearly, we think that we don't really have a fully critical size on an overall retail banking business model in Poland. So we have different options. Nothing has been decided yet. We have the option of concentrating on certain business lines. We have the option of complementing the setup if we can. So we have different options. Nothing has been decided. But nevertheless, we are under no pressure as long as we are able to continue to improve the intrinsic profitability of the business that we already have there. In wealth management, we managed to increase the volume of assets under management. I'm talking about international wealth management. So clearly, it's mainly coming from the different acquisitions that we made plus organic growth, obviously. And remember that last year, we completed the acquisition of the -- activities of CIC in Asia. We integrated also some customer portfolios in Monaco coming from HSBC. And we are going to book starting the second quarter this year the activities of Banca Leonardo in Italy. It's another EUR 4 billion, EUR 5 billion of assets under management. So it's generating an increase in our assets under management. It's generating an increase in the NBI. We still have to complete a cost synergy program in order to improve the profitability of the business. As far as the credit demand in France is concerned, it's true that the credit demand is quite dynamic. It's also true and fair to say that it's been slowing down in home loans and increasing in SMEs and corporates, which means that it's not a dynamic, which would be overwhelming all segments of customers. Of course, we heard that some authorities, as you said, were thinking about putting in place a so-called countercyclical buffer, it's a possibility. It works in a quite, I would say digestible manner because between the moment it's been decided and the moment it starts to be implemented, there is a 1-year transition period. So nevertheless, even if in the coming months these authorities were to decide this countercyclical buffer, it would take another year before it starts to be implemented. And in addition to that, considering the level of solvency that we have reached especially at the level of the Regional banks and at the level of Credit Agricole Group, which are the perimeters which are the most concentrated on French banking activities, we are so far above any requirement that I doubt that such countercyclical buffer would really, I would say, bite in terms of increasing the level of capital that we need to have to operate.
Pierre Chedeville: Which mean that it would be useful.
Jerome Grivet: It would be a message, a signal. But it's used as a signal. I would say that even these, I would say, discussions that we hear about in the press regularly are also [indiscernible] or signaling that the French economy is probably accelerating quite significantly in terms of credit. But in addition to that, it's always difficult to look only at one side of the equation. It's true that the credit demand coming from corporates and SMEs have increased. It's also true to assess that the growth has increased and is accelerating. And it's also fair to say that the treasury of those corporate and SMEs has also increased. And so one should look rather at the net level of investment rather than at the growth level of investment.
Operator: We will now take our next question from Stefan Stalmann from Autonomous Research.
Stefan-Michael Stalmann: I was wondering if you could talk a little bit about your balance sheet on the IFRS 9. You have seen some relatively big moves in particular into position that will now fair value to the P&L. And I was wondering whether you think that could create more volatility of the P&L going forward, and I was also wondering if maybe you have run a shadow account where you could tell us how the P&L would've looked like if IFRS 9 had not happened, so if you have not had this increase in fair value assets. And related to this, I was wondering you have this relatively large position now of debt securities in your balance sheet. How are they valued? Are they going through the P&L or through OCI?
Jerome Grivet: Well, some tricky and technical questions. To be frank, I don't have all the answers. It's true that we've been reclassifying several assets and quite a big number -- big amounts of asset. It's still particularly the case in the insurance activities but I'm not really able to say what would have happened if we hadn't made those reclassifications or we -- if we still were under the regime of IAS 39. So it's a bit difficult for me to answer your questions. What I'm saying when I'm talking about the idea of having to learn how to live under IFRS 9 is more on the cost of risk side than purely on the volatility of asset valuation side because clearly the -- what is going to be important is how to be able to monitor the evolution of bucket 1 and bucket 2 provisions. But in terms of asset valuation, clearly, what we have been reclassifying was beside the insurance activity, I don't think was that massive. So -- difficult to answer precisely to your question but maybe we have to wait a few quarters before you see exactly the impact. Actually I would even say thinking a little bit further on your question that, at least talking about the portfolios of liquidity reserves that we keep at the bank level, I think we have reduced the volatility of the P&L with the reclassification that we did actually.
Operator: We will now take our next question from Tarik El Mejjad from Bank of America.
Tarik El Mejjad: I have 2 questions please. First one on capital management. I mean, I noticed the last few months, you clearly communicate more on the fact that you would consider repaying to Switch 2 but very progressively. I mean, I heard what you said earlier on the call but did you get any indication from the ECB or the SSM that this is something you would address over time. And also because of your message in Q4 where you've missed a bit your consensus in terms of dividend per share, and did you find that by leaving some margin to actually be able to grow it later, which means very slow growth. Is that linked to your willingness to unwind the Switch 2 progressively? And still on capital management, on Basel IV. I mean post Q4, you told us that you're still looking if Basel IV will be implemented at group level or at CASA. If it's group level, then it's not even a topic for you. Today you're more suggesting that you need to see what's the impact. And I mean even if it's 100 basis points, which I think it's a benign scenario, that's 2, 4 years, 3, 4 years of capital generation, it's very important for us to understand basically how you'll be dealing with that and how that would impact your capital distribution. And my second question is on CIB. I mean you're saying that trading is not really your business much and you're here more to serve your retail networks and corporate and stuff. But still, I mean, when you look at fig, 10% of group revenues, maybe less if you remove some of the corporate related deals. And my question here is, would you consider, in the next plan, 2020, 2024, whatever, to actually review that division and you're -- the size of it and basically strategy because all the other divisions are actually working quite fine, and this is the one that is diluting your returns and consuming capital. So this is my question.
Jerome Grivet: Thank you, Tarik. Many questions in your question. First on capital. So dividend, what I said when we presented the Q4 results and the level of dividend that we intended to pay was not exactly what you said. I was just saying that this level of EUR 0.63 of dividend per share was exactly the level corresponding to the commitment that we had i.e. to pay 50% of our attributable results. So of course, what I hope is to see in the future the level of attributable results continue to grow, which is going to enable us to continue to grow the dividend. But I was not exactly referring to the idea of putting some money aside in order to be able to increase regularly the dividend. In terms of Switch 2, we have no discussions with the ECB on this issue simply because, again, it's fully now enhanced, so we don't have any, I would say, authorization to be granted. We just need to decide and then to trigger the -- either total or partial unwind of the Switch mechanism. In terms of Basel IV, again, I confirm what I said earlier in the previous calls, which is that, obviously, if -- and this is one of the key elements of the transposition if the -- which is absolutely logical and should be the case without any discussion, if the transposition of the Basel IV agreement starts saying that the relevant level where the output flow should be applied is only at the highest level of consolidation of any group, then the biggest part of the impact is lifted from any of the component of the group. And moreover, as this output flow applied at group level wouldn't change very much the capital situation of the group. And this is typically one of the key elements I was referring to. I was saying that I had to wait exactly to see the transposition proposals before being able to assess precisely the impact. But I still continue to think that this is the right way to transpose this I think. And I have no indication saying that the commission have a different idea on this issue. On the CIB. I don't want to anticipate on the next, and possibly coming Medium Term Plan. So clearly, we have the CIB we wanted to have. We are happy with this level of CIB. We are happy with the medium-term profitability of the CIB even though we are a little bit, I would say, unsatisfied with the level of revenues that we had on this quarter. But we fully understand the reasons coming mainly, and I would say, most exclusively from: a, the decline in customer demand; and b, the exchange parity between the euro and the dollar. So we fully understand the situation. We are not going to modify our views neither by unwinding further our CIB activities, neither by developing more aggressively some sources of revenues that we don't like, like trading revenues. So we are happy with this CIB. We think that 10% of return on normalized equity on a full quarter is quite decent. We target to be above this level in the medium to long term and we have been, indeed, above this level last year. And so I think that without trying to anticipate on the next Medium Term Plan, I don't see no reason why we should drastically change our views on this business.
Operator: We will now take our next question from Bruce Hamilton from Morgan Stanley.
Bruce Hamilton: Firstly, just on the LCL revenues. You've been fairly clear about the '18 outlook, but I guess, just looking out beyond there, how -- given the sort of shape of the rates curve, how should we think about where NII is going to sort of converge with volumes? I assume '19 is going to be, if it's growth, it's going to be principally fee-driven. But then perhaps in 2020, you get NII more reflecting the sort of volume growth in the business. And then secondly, the EU have also put out a recent paper looking at sort of distribution costs for customers across Europe, highlighting enter and exit fees in different markets, which under MiFID II clearly could come under some pressure. Can you just remind us how you think about the risk to your business in terms of any fees both in the French business and also in Italy, whether that could drive revenue risks. And then thirdly and finally on sort of risk management. Are there any pockets of risks where you're being more selective in lending either by sector or by geography? I think last quarter, you also mentioned that leverage finance really being the only place that the risk was perhaps running a bit like higher. But if you could just give us any update on those risks that would be great.
Jerome Grivet: Okay. So in LCL and retail banking activities, I would love to be able to answer to your questions but definitely I don't know exactly what the rates are going to be in 2019, so -- and it's going to be important in order to assess what is going to be the breakdown between NII and fees. What -- clearly, what I expect and what I assume is that we are going to continue to have a good dynamic in terms of fees simply because we have a growing customer base and we have a growing equipment rate of our customers. So this is going to generate fees going forward, and that is going, clearly, to help the top line to grow. In terms of NII, there are 2 unknown pieces. The first unknown piece is regarding the asset side of the balance sheet is the issue of when will the rollover effect start to play positively and not negatively. So as I said, we still have a gap between the yield of the back book and the rates of the front book. It's been not narrowing significantly in the coming quarters, but we expect, and probably, we need to see customer rate grow a little bit in order to see a full, I would say, closing of this gap. But once the gap is closed, it's going to then have a boosted effect on the NII obviously. And then the second element is obviously regarding the evolution of rate. Is it going to change significantly, the breakdown of the liability side of the balance sheet? Because obviously we have been benefiting in the last 2, 3, 4 years from a modification of the breakdown of the customer deposit on our balance sheet with a growing amount of these customer deposits being another form of site deposit, which is a 0 cost resource. Site deposits represent now 42% of the customer deposits within LCL. A few years ago it was closer to 30%. So obviously, if rate increase sharply, we may see, at a certain point in time, a modification or the breakdown of customer resources. So many, many moving pieces which makes it difficult to answer precisely to your question. But clearly, I think that if I make reasonable assumption on these different moving pieces, I'm quite confident to forecast a stable level of revenues overall in 2018 as compared to the first quarter of 2017. And then possibly afterwards, we are going to see some pick up. In distribution, I would say, restrictions regarding in MiFID II regulations and things like that, I don't see any impact either in France nor in Italy for the time being. And I think that considering the fact that we fully assume, I would say, that for example, Amundi is part of the group and we have a link between Amundi and the distribution network, we are able to continue to be exactly in the same prediction distribution model. Last point, in financing activities within CIB, we are cautious about LBOs especially when we are talking about a high level of leverage, high prices, high valuations and low covenants. Of course, it's typically the case where we want to be cautious and we have been cautious also on the last quarters on the shipping sector too. We have a last question then...
Operator: We will now take our next last question from Nick Davey from Redburn.
Nick Davey: So 2 questions please. The first one on back to French corporate debt. I know it was a proposal from December that you've now got a bit more information about the Financial Stability's council limits on highly invested corporate exposure as a percentage of your capital. Is there any disclosure you can give us on the scale of your exposure as it stands? And then the second one. I know you've given us a lot of detail about French retail margin but just one more question there. I think 6 months ago, you said that until front book mortgage margins are about 100 basis points, it would be difficult for French retail revenues to grow. And I think since then, they've actually fallen from about 70 bps to 50 bps. So I suppose, I'll just come back to that point of yours and ask you to comment any further. Have you given up your aspiration of 100 bps mortgage margin in France? What's taking its place in terms of your enthusiasm on French retail revenues being stable even without that help?
Jerome Grivet: Well, let me start with the first question because it's probably the easiest one. Clearly there has been this decision made by the [indiscernible] the last year I think it was finalized yesterday, and it states that, for highly invested corporates, we have a limit on the lending we can grant to them in proportion of our, I think our own funds. This limit is seen from now not biting actually as of today. I don't have the precise wording of the decision so I don't have the precise, I would say, analysis on the way it's going to play. But I don't see this decision in itself to be biting. Again, I think it's part of a series of signals coming from the authorities in France saying that we have to be cautious in terms of credit. But then again, I don't see this having a direct impact as of now. For retail banking activities, I still consider as I said earlier that we need to have a certain gap between customer rates and market rates in order to be in a comfortable situation. And indeed I concur with you to see that after some improvement in the first half of or 9 months of 2017, there has been a slowdown in this improvement, and I was referring to that a little bit earlier in the call. I think, I still think that we need to see a further increase in customer rate in order to be fully comfortable. Nevertheless, again, I was mentioning different moving pieces which are all playing role in the building of the NII in retail banking activities in France. One of this moving piece is that we managed to increase a little bit and we intend to continue to increase, for example consumer credit loans and corporate and SME lending in the balance sheet of LCL, which are providing better margin. The other one is that the growth in fees is also helping, and one the is that indeed we managed to continue to monitor the cost of resources at a low level. Again, I was referring to the proportion of a sight deposit within the customer deposit basis at 42%. It's also helping to preserve a little bit the net interest margin. But clearly, I still expect a further growth in customer rate. Thank you very much. I think that we are done with all the questions. So again, thank you for your patience. It's been quite a long call ending finally. And I am -- glad to meet you again in 3 months' time for this call. Bye-bye. Good afternoon to everyone.
Operator: This concludes today's call. Thank you for your participation, ladies and gentlemen. You may now disconnect.